Laurent Martinez: So good morning, ladies and gentlemen. Welcome to our conference call on order and sales for the first quarter of 2019/2020. I’m together with Julie Morel, our Head of Investor Relations; and Julien Minot here in Paris. So during the first quarters, we have been recording €1.6 billion of orders. This compares to €2.6 billion for the same period last year, which included, as you know, the large contract on the light metro system for Montreal. On these quarters, we recorded a number of major commercial successes, including a major contract for 27 regional Hydrogen Coradia iLint with associated maintenance for the region Hessen in Germany, 72 DT5 metro for Hamburg in Germany as well, and 16 additional Coradia trains for Bourgogne-Franche-Comte region and five for the region South in France. We are starting the year with a sales level close to €2.1 billion, up 2% compared to the first quarter of 2018/2019, with a decrease in systems and balanced by a positive growth of 9% for each Signalling and Rolling stock. Our sales were mainly fueled this quarter by our system projects, for sure, in the Middle East, rolling stock contract in Europe, mainly on the regional train Coradia product in France, Germany, Italy and Netherlands and the start of our ramp-up on Amtrak in the U.S. and PRASA in South Africa. With €40 billion backlog as of end of June, we have huge and strong visibility of our future sales moving forward. So talking about the main recent business events in the past quarters, we are proud to have our Sydney North West Metro line enter in revenue services with an outstanding success, I have to say, 1 million commuters traveling the line within the first two weeks. Particularly proud of this, as it’s one of the most important transport project for Australia and the first fully automated metro in the country. In addition, this 22 6-car train sets were built from our Indian industrial footprint. Second key event is related to our new generation Coradia train, which is entering passenger services in Italy of our "Pop" generations, which is equally a key event for this new product family. We confirm as well the commercial success of our innovative products with several orders over the quarters for a total of 85 Aptis ebuses in Paris, Grenoble and La Rochelle and major 27 hydrogen iLint orders with RMV in Germany for the renewal of diesel trains. Those flagship orders, I have to say, demonstrate one of our strengths in terms of smart and green innovation, which is, as you know, one of the key axes of our Alstom in Motion strategic plan. In June 2019, after becoming the first French companies to obtain our AFAQ ISO 37001 Anti-bribery certification for France and Europe in 2017, followed as well by Asia-Pacific in 2018, we have obtained certification on our countries in operations in the region of North America, Middle East and Africa, and Latin America. Finally, as you all know, we have been launching our new strategic plan, Alstom in Motion, on June 24, during our Capital Markets Day, and we are confirming the outlook that we have given during this Capital Markets Day, which I remind briefly: average annual growth rate of sales around 5% over the period 2019/2020 to 2022/2023, adjusted EBIT margin up to around 9% in 2022/2023, conversion from net income to free cash flow above 80% by 2022/2023 and dividend payout ratios between 25% and 75%. Looking at the short term in 2019/2020, will be a year of stabilization of growth after year of 2018/2019, which has been exceptional, both in terms of sales and profitability. In 2019/2020, our business cycle and with the finalization of our major system contract and the evolution of large rolling stock projects will lead to a sales and margin growth lower than the average objectives set in the context of Alstom in Motion and to a working capital evolution impacting the generation of free cash flow. So that’s it for my short introduction. Thank you for your attention, and I suggest we are now switching to our Q&A session. Up to you, thank you.
Operator: [Operator Instructions] We’ll now take our first question from Benjamin Szekeres from Goldman Sachs.
Benjamin Szekeres: Hi good morning, thank you very much for taking my question. I would like to ask about the outlook for large orders that you see for the remaining of the year and perhaps beyond. Can you just remind us in terms of which areas you might be expecting to receive orders, for example, Athens, Bogota? But if you could kind of give us an update, that would be very helpful. Thank you.
Laurent Martinez: Thank you, Benjamin, for your questions. So taking the chance to give you a bit of an outlook on the market. So we see very positive momentum in the market. Definitively, Europe is the key engine as we speak, but as well, North America and Australia and India. If I assume, in Europe, we see major opportunities in the pipeline in France, but as well in Italy and in Germany. We see as well, definitively, some opportunities in the urban market in North America, which – and in the suburban as well, which will come for some of the tenders in 2019/2020, but as well in 2020/2021. So on the softer side, Middle East and Latin America are still, I would say, in the recovery phase. Overall, we see an overall buoyant tender pipeline as I see today. And in parallel, I want to underline that we have high visibility thanks to our €40 billion backlog.
Operator: Thank you. We’ll now take our next question from Alasdair Leslie from Societe Generale. Please go ahead your line is open.
Alasdair Leslie: I was just wondering if you could help me find the full year sales guidance because sales growth lower than the average mid-term objective still leaves a four percentage point plus range. I imagine a tougher comp in the second quarter, at least on an organic basis, could leave you close to flattish at the H1 stage, and it looks like consensus has just shy of 4% reported growth for the full year. I was wondering if that’s a level that you’re comfortable with. Thank You.
Laurent Martinez: Thank you, Alasdair, for your question. So as you know, we don’t provide precise guidance for this year, but let me give you some color on the momentum of our various product line. So as you know, we have definitively headwinds on our systems Middle East projects, which are nearing completion, like Riyadh and Dubai, to name some of them. We see as well, however, positive dynamics and momentum on Rolling stock and Signalling, and you will see an acceleration of this as well in the quarters to come on these specific lines of business. So to the year-end outlook, I will not give precise numbers, but there will be these two dynamics, continuos, I would say, headwinds on the systems, but an acceleration on our Rolling stock projects, in particular. So overall, maybe to complete, we see sales growth overall for the full year, for sure. Next question?
Operator: Next question comes from Gael de-Bray from Deutsche Bank. Please go ahead. Your line is open.
Gael de-Bray: The question I have is just to – well, I guess, I want to check the full year guidance, again. When you guide for rate of margin improvement that will be lower than the average increase expected over the next four years, just wanting to double check that it does not take into account the CASCO effect and that the increase will indeed be purely organic. And then when – If that’s the case and that increase is sort of going to be 10 or 20 bps, when do you expect to make up for the shortfall vis-a-vis the 2023 average target? I mean do you anticipate a pickup in margins next year? Or will it be rather back-end loaded?
Laurent Martinez: Yes. Thanks, Gael, for the good question. So just in terms of technicalities, the starting point of our margin expansion, as I indicated in our Alstom in Motion, is obviously our 2018/2019 adjusted EBIT, including CASCO, is 7.5%. So this is our floor, and we’ll be building from there. And we are looking, just to be very clear as well, to develop and to grow from this 7.5%, including in 2019/2020. What we are saying is that the growth will not be purely proportional over the four years, but it will be, I would say, a function of the progressive implementation of our Alstom in Motion plan in terms of efficiencies, but as well in terms of mix, with the acceleration on Signalling and services together with the volume impact. So to cut it short, 7.5% is our reference for 2018/2019, we’ll be building from that, we’ll be growing in 2019/2020, and there will be a progressive acceleration along the next four years.
Operator: We’ll now take our next question from Alasdair Leslie from Societe Generale. Please go ahead.
Alasdair Leslie: A question just on the service and Signalling business. Looking at the order numbers for both areas, they seem below sort of – if I take sort of four-quarter average, knowing that you had, obviously, some very large service quarters last year, do you think there is upside to the service and Signalling orders from the level here for the rest of the year? And maybe just a follow-up on the services side. We always keep asking about large orders, which are often more Rolling stock-related. But if you’re looking at your pipeline for services, the next sort of 12 months, is there a chance that we could see a sizable pickup here similar to maybe in in quarter or so? We’ve seen last year where you had some very strong service orders. Thank you.
Laurent Martinez: Thank you, Simon, for your questions. So just to reflect first on our orders for services last year, we had some exceptional orders already to Riyadh operational maintenance and around as well our Montreal. So we had some, I would say, exceptional jumbo orders in 2018/2019. So in terms of market momentum for services for 2019/2020, we still have, I would say, a very, very positive momentum in Europe, but as well in North America. So we’ll be continuing to build into this. I do not expect, as we speak, some major services contract as we had in 2019/2020. There will be more to come in the outer years.
Operator: Our next question comes from Akash Gupta from JP Morgan. Please go ahead. Your line is open.
Akash Gupta: My one question is on free cash flow, and I wanted to check since the CMD last month, has there been any noticeable change in the driver for full year 2019/2020 free cash flow that we should be aware of?
Laurent Martinez: Thank you, Akash. So the short answer is no. So the elaborate answer is that the drivers remain the same. So on the industrial CapEx, I just want to underline, industrial CapEx, we are still in the 2% to 2.5% of our sales and – which will be, I would say, slowing down to 2% in the outer years. On the working capital, we will be impacted, as I explained, by the ramp-up of one of our Rolling stock contracts. Down payment is, I would say, stable in our perspectives. And of course, there will be this EBIT evolution year-on-year, which will participate to the free cash flow. So nothing new, Akash, compared to our exchange back on June 24. Next question?
Operator: Thank You. We’ll now take our next question from William Mackie from Kepler Cheuvreux. Please go ahead. Your line is open.
William Mackie: I’d just like to ask a question about services. Could you perhaps highlight why there was a decline in services, which feels slightly counterintuitive in the first quarter revenues, and how we should expect services to develop throughout the rest of the year? Thank you.
Laurent Martinez: Thank you, Will, to underline this point. So indeed, we have year-on-year a slight decrease on services Q1 2019/2020 compared to Q1 2018/2019. So two elements into it. The number one is, some of our renovation contracts in the U.S., which are nearing completion. So it is phasing of projects. Second one as well, we had in 2018/2019 some one-off maintenance overall event in our UK services contract. So the way the services contracts are working, you have sort of base activities, and each for seven, 15 years, you have major overall events, which are providing a peek of activities. And this is what happens in the first half of 2018/2019, which is explaining the difference with this year. So moving forward, our services strategy is healthy. We are looking, I would say, on positive evolution. So there will be a recovery during the year on this – of course, on this trend. And moving forward, you see that we have, I would say, thanks to our certain backlog – billion euro backlog, a lot of positive visibility and positive momentum on this line of activity. Next question?
Operator: Thank you. [Operator Instructions] We’ll now take a follow-up question from Gael de-Bray from Deutsche Bank. Please go ahead.
Gael de-Bray: Yes, thanks again for the follow-up. Yes. I’d like to better understand the magnitude of the potential impact of the inventory increase you flagged for the full year. And – but I know it’s a very difficult exercise. But I mean, do you still expect to generate a free cash flow in your mind that should be higher than last year or actually below than a year ago?
Laurent Martinez: Gael, thanks for your questions. So we are talking about cash generation in 2019/2020, we are not talking about cash usage. So this is definitively the spirit we are in as a management team. There is, obviously, to your point of inventories, some ballistic evolution, which is just linked to the deliveries and the ramp-up of our rolling stock project, but our free cash flow as well is, of course, impacted based on the usual short-term volatilities, which are more related to down payments and progress payments. So I will not answer precisely your question, but these are the key drivers and the direction we are taking. And as you know, cash is a major management focus. We’ll continue to put full priorities on this cash generation target for 2019/2020 and for the outer years with our above 80% target. Next question?
Operator: Thank you. Next question comes from William Mackie from Kepler Cheuvreux. Please go ahead.
William Mackie: Thank you. I just wanted to follow up with a question relating to Brazil and Latin America more generally. Without going into the merits for or against any ruling relating to the previous activities of management in Brazil, I specifically wanted to ask what is the situation in Brazil? Are you able to bid for contracts? Or will you need to rightsize the operations in Brazil given that it looks like you’ve been frozen out of the market for a period of, I think, five years?
Laurent Martinez: William, thanks to come back on these subjects so that I give you more colors on these topics. So first, we just received only yesterday afternoon as a formal decision. So we are looking at it carefully. We’ll analyze that with our general counsels and our lawyers. And we’ll be assessing, of course, William, all the possible administrative appeals and judicial options that we have enhanced to protect the interest of the company. So in terms – just to reassure everyone, in terms of our impact on our P&L, should we have to take into account the liabilities, we are talking about very minimal impact based on our 2018/2019 account P&L wise. So to your point in terms of tendering activities, this will be part, definitively, of our detailed analysis, so – which I don’t have in hand as we speak. Overall, what I can say is that our Brazil activities represent 0.8% of our sales. So you see it’s very marginal in our big scheme of things. And what we know as well is that the Brazilian market is very soft. So this is not something which is a booming market. We are hurrying on, overall. So we’ll be looking at analyzing all of this, taking all the appeals and options that we have in hand to move ahead on this. And at the same time, of course, we have very stringent policies internally so that these type of subjects, which are way from the past, will not happen again, for sure. Next question?
Operator: [Operator Instructions] We’ll take our next question from Benjamin Szekeres from Goldman Sachs. Please go ahead.
Benjamin Szekeres: Thank you very much, for taking the follow-up. I just wanted to ask a question about your footprint in India, specifically in terms of what we should expect there in terms of you moving your resources there and the employee base. I know you have, from the CMD slide deck, I can see 4,000 employees there currently. And I can also see you’re targeting to have 30% of engineers in the country. But I’m just trying to tie the ends up and kind of get to a number sort of in terms of the increase in employees that you foresee in the country on your behalf.
Laurent Martinez: Thank you, Benjamin, for your questions. So you know that India is definitively a major asset for Alstom. This is something which is a differentiator as well if I compare to our competitors. So as you rightly reminded, 4,000 people, as we speak. If I take only the signalling engineers, which is definitely a key differentiator as well, we are moving from 1,250 people in Bangalore, and we want to move to 2,000 people. So you see that there is a major growth that we are targeting on the engineering side. If I look at the two type of activities, on the manufacturing, we want to basically move from 0.7 million hours of manufacturing to more than two million hours. So we are basically tripling our activities based on our two factories of Sri City and Coimbatore and again to make a link with Chennai Metro that we just entered in service has been built from Sri City. So you see that it is getting traction in terms of operation. And in terms of engineering, we have one million hours, 2/3 of that is signalling, and we want to uplift that to five million hours. So you see that in the next years, we are developing big time India. And as a matter of fact, we have an executive coming in next week in India with a full leadership team to work with our Indian leadership team on this ramp-up moving forward. Next question?
Operator: And no questions for the moment. [Operator Instructions] There are no further questions. At this stage, I will turn the call back to the host for any additional or closing remarks
Laurent Martinez: Yes. Thank you very much for your attention, ladies and gentlemen. So if I summarize in two key points, our first quarter is consistent with our Alstom in Motion trajectories, and there is, I would say, two key orders, Aptis and hydrogen train, which reflects our innovation strategy and deliveries of Sydney and our Coradia Stream evidencing our momentum on the delivery side. The second key point is, we are, more than ever, after our Capital Markets Day, focusing on our key business priorities, which is execution on tenders and execution on projects. So I wish you all a nice summer. Our next financial event really will be on the 6th of November of 2018 for our H1 2019/2020 results. Thank you very much. Nice summer to everyone. Bye-bye.
Operator: Thank you. This concludes today’s conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.